Operator: Good morning, everyone, and welcome to the Escalade Fourth Quarter 2024 Results Conference Call. All participants will be in a listen-only mode. If you need assistance, please say no or conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star and then one using a touch-tone telephone. To withdraw your question, you may press star and two. Please also note today's event is being recorded. At this time, I'd like to turn the floor over to Patrick Griffin, Vice President of Corporate Development and Investor Relations. Please go ahead.
Patrick Griffin: Thank you, operator. On behalf of the entire team at Escalade, I'd like to welcome you to our fourth quarter and full year 2024 results conference call. Leading the call with me today are President and CEO, Walter Glazer, and Stephen Wawrin, our Chief Financial Officer. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. At the conclusion of our prepared remarks, we will open the line for questions. With that, I would like to turn the call over to Walter Glazer.
Walter Glazer: Thank you, Patrick, and welcome to those joining us on the call. Throughout 2024, our team successfully navigated a soft period of consumer demand by continuing to prioritize operational discipline, asset optimization, expense reduction, and efficiency gains. These initiatives continued during the fourth quarter, culminating in year-over-year margin expansion and strong cash flow. Fourth quarter sales declined 2% versus the prior year period, we delivered more than 60 basis points of gross margin improvement largely driven by lower manufacturing and logistics costs. Over the last two years, we've reduced our workforce by approximately 23%, while decreasing our owned and leased square footage by nearly 20%. These reductions were driven mainly by the closure of our Rosarito, Mexico facility, the termination of a lease in Orlando, Florida, and operational rightsizing across the remainder of our footprint. While we've experienced significant one-time costs related to our operational rightsizing and facility wind down, we see a pathway for improved operating leverage and margin expansion in the year ahead. Even in an environment where consumer demand for discretionary recreational goods remains soft. Beyond our focus on expense control, we also continue to prioritize working capital efficiency. Since our inventory peaked in the third quarter of 2022 as a result of excess purchases during the pandemic and supply chain disruptions which delayed receipts, we've successfully reduced our inventory levels by 44% in 2024 alone, reduced inventory levels by nearly 20% when compared to year-end 2023. We have largely maintained price discipline with our in-line items. Also moved aggressively when necessary, which negatively impacted gross margins in 2024. Our improved working capital efficiency has favorably impacted our operating cash flow performance. We generated $36 million in operating cash flow in 2024, including more than $12 million during the fourth quarter. Given our strong free cash generation, we were able to pay down $25.3 million in debt during 2024, and ended the year with a net leverage ratio of 0.8 times. In alignment with our balanced capital allocation strategy, we successfully repaid the remainder of our variable rate debt leaving $25.6 million of fixed rate debt on our balance sheet at year-end. Our interest rate on the remaining fixed rate debt is 2.97% which currently allows us to earn positive arbitrage on any cash balances. During the fourth quarter, we also deployed available cash towards share repurchases, executing $2.2 million of buybacks under our existing $15 million authorization. In 2025, we intend to continue our balanced return to capital program and disciplined approach to capital allocation, successfully realizing the objectives of our cost rationalization program. We now believe our business is well positioned to capitalize on the next expansionary phase of the economic cycle and improved discretionary consumer spending on recreational products. To that end, we're investing in consumer-driven innovation and strengthening consumer connections while remaining acquirers of complementary high-value brands consistent with our strategy to build long-term shareholder value. While consumer spending for discretionary recreational goods remains under pressure due to the current macroeconomic conditions and uncertainty, we see pockets of demand growth within our diversified brand portfolio. Recent brand-building initiatives have allowed us to establish lasting connections with our consumers by expanding our e-commerce presence, rolling out impactful marketing programs, and strengthening our partnerships while continuing to deliver category-leading innovative brands that have built consumer loyalty across a diverse base of established and emerging recreational sports. Going forward, we are increasing our focus on consumer-led innovation across our categories. A recent example of our focus is the launch of our new Onyx Malus raw carbon pickleball paddles, which combines a naturally textured carbon surface with other innovative features, including our patented ThermoFuse technology process to create maximum spin and control without sacrificing power and pop. Our partnership with the American Cornhole League continues to bear fruit for both parties. We are increasing our range of high-quality boards, accessories, and high-performance bag sets. As the ACL continues expanding into collegiate, high school, and international tournaments, we are there to support the players with everything from boards and bags to scoring towers, pitch pads, and related accessories. Consumers can set up a tournament-level cornhole lane at home for practice. The ACL trademark slogan is "Anyone can play, Anyone can win." And we know the only way to win is to practice. Whether you want to win an ACL tournament or just have fun with your family and friends, Escalade is there for you with our full line of ACL products. On our last conference call, I discussed our expansive new lineup of Bear Archery bows. These have been very well received by our archery dealers and consumers. The heavy traffic at our booth during the ATA trade show in January was a testament to the efforts of our Bear team to deliver great value and performance. And we're not stopping there as we prepare to launch new and improved archery accessories in 2025, that will complement and enhance our installed base of compound and traditional bows. I also discussed our agreement to become the exclusive US distributor of Adidas branded fitness accessories. I'm pleased to report that our US weight team has hit the ground running and we are now shipping Adidas products, which are a great complement to our offering of Lifeline, the step, and US Weight branded fitness equipment and accessories. Additionally, our Brunswick Billiards Group will launch the newest generation of the iconic Brunswick Gold Crown table at the Billiard Congress of America show in March. The prior six generations were great. But the Gold Crown seven takes performance to a new level while honoring the Gold Crown heritage and aesthetic. Brunswick celebrates its 180th anniversary this year. And what better way to show the brand continues to lead the industry with innovative products that exceed consumers, dealers, and installers' expectations. Brunswick has always been strong in the home market, and years ago was the leader in the commercial tables for pool halls and bars. Since our acquisition of the brand in 2022, we have devoted substantial resources to relaunching the gold crown commercial table. This enhances the visibility and breadth of Brunswick and serves those players who do not have the room or resources for their own table at home by allowing them to play on the best at their local venue. Entrepreneurial billiard enthusiasts are setting up high-quality family-oriented venues with rows of gold crown commercial tables. We think this trend could be in the early stages. Our vision is to build and strengthen our brand portfolio centered on helping consumers create great memories while engaging in healthy activities with their family and friends. No earnings call this season would be complete without a discussion of tariffs. We've developed a playbook addressing tariffs over the past few years and have been working to diversify our sourcing. We've moved items back into our domestic factories, expanded sourcing to suppliers in Vietnam, Indonesia, Brazil, India, and others. We've reduced our dependence on Mexico through the sale of our facility in Rosarito. While it may be easy to shift production of apparel and other items, our deep supply chain of components and processes in China require a lot more preparation, and currently cost to move. So while we continue to diversify our sourcing, we are prepared to manage some tariff impact in partnership with our factories while working to mitigate derivative tariff values through reengineering products and processes. Some of our businesses will benefit from the tariffs. Our archery bows are largely produced in Gainesville, Florida. Our US weight facility is a low-cost domestic producer, which benefits from the United States leadership position in plastic resins and natural gas feedstock. Finally, the closing of the de minimis loophole will benefit all domestic producers. Under the de minimis rule, importers could avoid prior tariffs by shipping small packages valued at less than $800. Over the past ten years, the number of de minimis shipments coming into the US increased nearly tenfold from $139 million in 2015 to $1.36 billion in 2024, with an increase of 36% in 2024 alone. Before turning the call over to Stephen, I would like to take a moment to thank each of you for your support during my time at Escalade. The past four years have flown by, and our team has done an amazing job managing through the post-pandemic environment. I want to thank them as well. Our talented driven employees have made my job look easy. I look forward to seeing Escalade continue to create long-term shareholder value under the leadership of our incoming CEO, Arman Bohm, who plans to start with the company on April first, will bring his amazing energy and talents to Escalade. I'll return to my prior position as director and chairman, continuing to serve our shareholders with an enhanced understanding of our company. With that, I'll turn the call over to Stephen Wawrin for his prepared remarks.
Stephen Wawrin: Thank you, Walter. For the three months ended December 31, 2024, Escalade reported net income of $2.7 million or $0.19 per diluted share on net sales of $63.9 million. For the fourth quarter, the company reported a gross margin of 24.9%, compared to 24.3% in the prior year period. The 61 basis point increase was primarily the result of lower operational costs driven by our footprint rationalization and workforce reduction initiatives. Selling, general, and administrative expenses during the fourth quarter increased by 5% or $0.5 million compared to the prior year period to $10.9 million. Earnings before interest, taxes, depreciation, and amortization decreased by $0.5 million to $5.9 million in the fourth quarter of 2024, versus $6.4 million in the prior year period. Total cash provided by operations for the fourth quarter of 2024 was $12.3 million for the quarter compared to $20.6 million in the prior year period. Our inventory reduction initiative contributed less to free cash flow generation in the fourth quarter of 2024 versus the fourth quarter of 2023 as we approached a more optimal inventory level. As Walter mentioned, we expect to further reduce our inventory levels in 2025 as part of our ongoing optimization efforts. As of December 31, 2024, the company had total cash and equivalents of $4.2 million. At the end of the fourth quarter of 2024, net debt outstanding or total debt plus cash was 0.8 times trailing twelve-month EBITDA. As of December 31, 2024, we had $25 million of total debt outstanding. During the fourth quarter, we repaid the remaining balance of our variable interest rate debt. As Walter mentioned, we intend to be mindful of our disciplined approach to the allocation of resources as well as our cost of capital when deploying our cash and pursuing a balanced return of capital program. With that operator, we will open the call for questions.
Operator: Ladies and gentlemen, at this time, we'll begin the question and answer session. If you are using a speakerphone, we do ask that you please pick up your handset before pressing the keys to ensure the best sound quality. To withdraw your questions, you may press star and two. Once again, that option is available. Our first question today comes from Rommel Dionisio from Aegis Capital. Please go ahead with your question.
Rommel Dionisio: Good morning. Thanks for taking my question. With regards to inventories, Stephen, I know you talked about, well, you two talked about the inventory reduction as being a key metric here over the last several quarters. Made a lot of progress in that, obviously. But as we look forward, you know, with impending potential tariffs, would you think about boosting inventories near term just to make sure you have a safety stock or perhaps purchase at a lower price before tariffs kick in? How do you guys think about that? And how can we benchmark that over the next couple of quarters? Thanks.
Stephen Wawrin: Hey. Good morning, Rommel. Yeah. So for sure, we advanced some shipments. We called ahead some business, some inventory. Ahead of the tariffs to sort of beat the price increase. But our goal still remains to be efficient in our use of inventory and working capital. We think there's still room to reduce inventories while maintaining high service levels for our customers. So, you know, we're taking a balanced approach. I would say that we're seeing some opportunities for further reductions as I said.
Rommel Dionisio: Sure. Thanks. And also, Jim, not to read too much into what you just said, well, could inventories have been even lower, not taking out some of the safety stock that you mentioned here in the last few months or quarters? Thanks.
Stephen Wawrin: We think there's opportunity to bring it down further. Not to the extent we did, you know, over the last two years. Right. Definitely some opportunities.
Rommel Dionisio: Okay. Great. And maybe just a follow-up question if I could with regards to gross margin. Could you talk about product mix shift? I know you cited strength in archery and table tennis. When does that come in as somewhat higher margin as well as was that product mix shift a tailwind for you in the quarter?
Stephen Wawrin: Yeah. So I would say that, you know, we're running about the fleet average. There's not been a big shift. Due to mix, some puts and some takes, I think the real message we want to deliver is, hey, we absorbed a bunch of costs related to, you know, reducing inventory, related to the reduction of our facilities and our footprint. And we think that our gross margins on balance should be better moving forward.
Rommel Dionisio: Great. Thanks very much. It's very helpful.
Operator: Once again, if you would like to ask a question, please press star and one. Our next question comes from David Cohen from Minerva Advisors. Please go ahead with your question.
David Cohen: Thanks. Walter, thank you so much for shepherding the Escalade ship of state through some really, really choppy waters. We appreciate the seriousness with which you've embraced the endeavor. And, obviously, the full results don't show with demand sort of muted right now, but a look at the balance sheet is comforting. Much more comforting now than it was a couple of years ago. So thank you. Your text of the release talks about nonrecurring expenses. You have referred to them in this call as significant. Is there some way you can sort of give us a ballpark on what 2023 and 2024 reflect with regard to those expenses? Obviously, we're just trying to normalize what going forward profitability profile might look like.
Walter Glazer: Yeah. Sure. Sure, David. And thank you for those kind words. You know, it's been a real team effort. I mean, everybody in Escalade has been working hard to accomplish these goals, and we feel like we're in a great position going forward. You know, as far as the impact, you know, without getting too granular, the one thing I can tell you is that the one-time costs we absorbed in 2024 are kind of roughly comparable to the gain on sale that we reported, and that was broken out as about $3.9 million. So I don't know if that's helpful or not, but that should give you some sense of the scale.
David Cohen: Okay. Another question that I had for you is with regard to the balance sheet. Obviously, the leverage has come way down. And I'm wondering whether that changes your perspective on what the balance of capital allocation should look like.
Walter Glazer: Yeah. So for the last few years, I mean, particularly, you know, 2021, 2022, 2023, we were focused entirely on debt reduction. We reported it in the quarter, we have begun buying back our stock. We've bought back about $2.2 million worth. So that's now available. It's at our disposal, I would say. So, you know, we pay up, as you know, we pay up a significant cash dividend. We want to continue investing in our core businesses. As long as it makes sense, we'll plan to continue to repurchase our shares. And then we're, you know, very selective acquirer. So if the right opportunity came along, we would definitely be interested in that.
David Cohen: Thanks a lot, and best of luck, Walter.
Walter Glazer: Thank you, David.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question and answer session. I'd like to turn the floor back over to Patrick Griffin for any closing remarks.
Patrick Griffin: Thank you, operator. On behalf of everyone at Escalade, including our board of directors, I want to express our deepest gratitude for Walter's leadership and unwavering dedication to successfully navigating the company through the challenging post-pandemic environment and intentionally setting the stage for our next growth phase driven by consumer-led innovation. We are extremely grateful for Walter's contributions and look forward to building upon those with Arman Bohm as our incoming President and CEO. Once again, thank you for your interest in Escalade and joining our call. If you have any questions, please feel free to contact us at escaladeir@escaladeinc.com, and a member of our team will follow up with you. This concludes our call today. You may now disconnect.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.